Jacobus Loots: Good morning to all of you, and welcome to our 2025 final results presentation. Thank you very much for taking time out of your schedules to join us today. We will keep the presentation fairly brief with an opportunity for questions afterwards. Joining me in presenting today will be Marileen Kok, our Financial Director. This will be the first time Marileen reports on a full year of financial results for the group in her role as Financial Director. A special word of thanks to Marileen, the finance department and also to the rest of the amazing Pan African team for excellent work in putting these results together. You are welcome to refer to our SENS and RNS announcements and to the supplementary information available on the Pan African website should you require detail not dealt with in today's presentation. Please note the disclaimers and information on forward-looking statements on Slides #2 and 3. Reflecting on the last year, I believe Pan African has made excellent progress in our strategy of positioning ourselves as a safe and sustainable, high-margin and long-life gold producer with very attractive future prospects. Not many gold producers are able to successfully commission 2 new transformational projects within the space of 12 months. Certainly, a key highlight from the last year was bringing MTR into production ahead of schedule and below budget. This is an asset with a life of almost 20 years after the expansion currently underway, producing some 60,000 ounces per annum at a world-class all-in sustaining cost with further growth potential in the near term. We also concluded the acquisition of Tennant Mines in Australia, an asset in a Tier 1 jurisdiction and then proceeded with the incumbent Australian management team to deliver this project on budget and on schedule. And we are pleased to report today that Tennant's gold plant at Nobles reached steady-state throughput in terms of tonnes in July just after year-end. On our other surface assets, we have now successfully completed the project to extend the life of the BTRP at Barberton by another 6 years from tailings sources only. At our underground operations, we successfully restructured the Barberton underground with an estimated cost saving of approximately ZAR 200 million for the next financial year from this initiative. Consort at Barberton is also now cash flow positive, producing some 10,000 ounces per annum. Financial year 2025 was also a year of records. We achieved record half year production in the second half of the financial year. We are reporting record profits and record headline earnings per share. We are proposing record dividends to shareholders for approval at the upcoming Annual General Meeting. In U.S. dollar terms, our proposed dividend is up almost 80% year-on-year. And we are expecting to be degeared from a net debt perspective before the end of the 2026 financial year at prevailing gold prices. In the second half of the financial year, we repaid debt of almost $80 million, demonstrating the cash flow generating ability of our portfolio. I believe Pan African is now incredibly well positioned to capitalize on current gold prices and our increasing production profile. And I look forward to sharing some thoughts and further detail on many of our initiatives and plans in the following slides. On Slide #4, an overview of the presentation. We will start with Pan African's health and safety performance, which is obviously critical in our business and then provide an overview of the group and our operating environment, some key features from the last year, including our new operations at MTR and Tennant Mines with detail on asset performance as well as our cost and capital outlook. We will then spend a couple of minutes on ESG before allowing Marileen the opportunity to highlight elements of the group's financial performance for the year. The presentation will then conclude by outlining focus areas for the year ahead. If we proceed to Slide #6, our safety performance and our journey to zero harm. We continue to focus on safety initiatives and interventions and on maintaining an industry-leading record. We can also celebrate a number of safety milestones achieved during the reporting period. I would like to specifically mention the achievements of our surface business with all of our operations achieving 0 lost time and reportable injuries for the year. MTR managed to complete construction, some 1.8 million man hours worked with only 1 lost time injury. In terms of safety at our underground operations, we unfortunately suffered 2 fatal accidents, one at Evander in December of last year and the second at Barberton Sheba in June, after achieving more than 10 years fatality-free at Sheba. We are also saddened to report a fatal fall of ground accident at Evander post year-end. We again wish to extend our condolences to the families, friends and colleagues of our deceased colleagues. My commitment is that we will continue to do our utmost to ensure the safety of our people and operations. We do, however, need all stakeholders to work together to realize our goal of a zero harm work environment. Slide #8. We believe Pan African offers a compelling investment proposition. We operate a well-diversified portfolio of producing gold assets in 2 jurisdictions with outstanding mining pedigrees. We have a high margin and stable operating base, generating very attractive cash flows. We expect production to grow by almost 40% or more in the next year, driven primarily by the ramp-up of MTR and Tennant mines. Our assets are long life and the group has a huge reserve and resource base for further expansion and development. We have a proven track record of project delivery, excellent capital allocation and a sector-leading dividend. And we have the ability to leverage the existing portfolio for further attractive growth. No need for us to go buy expensive assets at high valuations at this juncture. Slide #9. I guess the proof is in the pudding or in the numbers in this case. An investment in Pan African in 2009 when the group in its current form came into being, would have increased some 38-fold. This is a gold price increase also attractive around 4x. You also would have received an attractive dividend over this period, further increasing returns on Pan African stock. Earlier this week, we announced our intended move to the main market in London. The size and prospects of the group are such that we have outgrown our current AIM listing. Slide #10. We have built a unique portfolio of surface remining and underground assets. The addition of MTR and Tennant Mines means that we now have 3 large mining complexes in South Africa and 1 in Australia, all contributing towards the material increase in gold production forecast for the year ahead. Surface operations reduce unit costs and turn legacy liabilities into profits, whilst the underground mines provide long life of mines, solid returns on investment as a result of a large sunk capital base and also attractive optionality, which we continue to bring to account in a circumspect and considered manner, always thinking about the best way to allocate capital. Slide #11. We have now successfully transitioned the business to be focused on long-life, low-cost surface remining assets. Going forward, we expect approximately 60% of our production from surface and certainly the bulk of our earnings also. As I've said, not many gold miners can boast the fully funded production growth that we will deliver in the next year with a portfolio also well diversified. Slide #12, a bit more detail on our current portfolio of assets. I think what is very helpful is that all of our operations now have extended lives with the shortest life being the BTRP at 6 years, which is still quite a while. If we compare ourselves with the sector, many producers are running out of life on their assets or have to spend significant capital for future production, not the case for Pan African. We do not have to go and acquire more assets to maintain and grow production. Slide #13, our operating environment. We continuously seek ways of making our business less susceptible to adverse external impacts in South Africa. We have now seen an extended period without any load shedding. We are rapidly expanding our renewable energy footprint. Our mining rights are long dated, and we have multiyear wage agreements in place at most operations. Pan African's track record demonstrates we can operate and grow in South Africa and do so very successfully. Our experienced Australian team will ensure the same success in that jurisdiction. We have found the Northern Territory government very welcoming and supportive of our operation. It's a great place to do business, and we look forward to expanding our business there. If we then proceed to key production cost and financial features from the year past on Slide 15. We produced just under 200,000 ounces of gold for the year, an increase of 6% from the prior year. In the second half of the financial year, we delivered record production, mostly on the back of MTR. Our guidance for the next financial year is 275,000 ounces or more with production weighted to the second half of the financial year as MTR's expansion is completed, Tennant Mines commences mining in higher grades from open pits, and we are firmly established in Evander's very high-grade 24 Level B-Line. Our final all-in sustaining cost for FY '25 was $1,600 per ounce, slightly above previous guidance of $1,525 to $1,575 per ounce. The primary reasons for overshooting on AISC or all-in sustaining costs were a hedging loss of $30 per ounce and a rand-dollar exchange rate 2% stronger than forecast in our guidance. Importantly, the group is completely unhedged from the 1st of July of this year. For the next financial year, with full years of production from MTR and Tennant Mines and increased production from Evander 8 Shaft, we can expect unit costs to decrease in real terms. We expect an all-in sustaining cost per ounce of between $1,525 to $1,575. We further expect to be net debt free in the next year at prevailing gold prices. And despite the $32 million impact of the hedges, we delivered record profits and headline earnings in FY '25. And finally, despite all of the growth and capital reinvestment, we are able to maintain our sector-leading dividends to shareholders. We are proposing a record dividend for approval at the upcoming Annual General Meeting. Slide 16 should be an interesting one for investors, demonstrating how nicely we have expanded margins in recent years, and this excludes any meaningful contribution from MTR and Tennant Mines and also the full impact of prevailing record gold prices. Slide #18. I think it is fair to say that Pan African has a record second to none in terms of conceptualizing construction and operation of tailings retreatment projects. These long-life assets now form the cornerstone of our business. And I believe we have further room to grow in this space, which should be very attractive for our investors. If we then move on to more detail on the performance per operation, starting with Elikhulu on Slide #19. Clearly, a flagship asset for the group, just under 9 years of production remaining producing at under $1,100 per ounce. Gold production remained stable as expected for the year. We look forward to another year of more than 50,000 ounces of production and clearly excellent cash flow generation in the current gold price environment. The asset generated $80 million of EBITDA for the last year. Importantly, Phases 3 and 4 of the Kinross tailings facility, the final expansion were delivered on budget and on schedule. We are also now constructing the Winkelhaak pump station ahead of when required. This will enable us to feed material from both Leslie/Bracken and Winkelhaak from FY 2027. Slide #20, the BTRP, another sterling performance from our first gold tailings retreatment plant commissioned in 2013 and the lowest cost producer of gold in the group. As previously flagged, very exciting news for the BTRP is that we have extended the life of this operation from surface remining only to 6 years. The capital requirements for this new initiative was also relatively modest, some $4 million for a new pump station. BTRP will, therefore, continue to form an integral part of Pan African's tailings retreatment story for many more years. I'm also pleased to report that the new Bramber remining infrastructure will be delivered before the end of September this year, again, on budget and ahead of schedule. MTR on Slide 21. We commissioned the plant in October of last year, ahead of schedule and with savings of approximately $8 million to upfront capital. We built all of the plant and infrastructure in about 14 months, a testament again to Pan African's ability to secure, conceptualize, fund and then execute world-class mining projects. In December, we were already exceeding the plant's nameplate capacity by more than 10%. In the current gold price environment, payback on this $130 million initial investment should be approximately 2 years with a project life of almost 20 years when we include the Soweto reserves. All-in sustaining costs were elevated during ramp-up. Going forward, we expect these to ease to below $1,200 per ounce in the year ahead and then further going forward. We are now expanding the MTR operation to 60,000 ounces of annual production. This expansion is on schedule and should be complete early in the 2026 calendar year. On Slide 22, the Soweto cluster consists of more than 130 million tonnes of tailings with a mineral reserve of more than 500,000 ounces of recoverable gold. We believe we have enough gold reserves at the Soweto cluster to sustain a stand-alone operation, treating some 1 million tonnes per month over an approximate 10-year life of mine. The feasibility on this option will be concluded by the end of this month. Given our presence in the area, there is definitely also scope for the consolidation of tailings facilities we do not already own. On Slide 23, we cannot say enough about the socioeconomic and environmental benefits of this project. Concurrent rehabilitation is in progress. We are uplifting local communities, providing much needed economic and employment opportunities and working with law enforcement to eradicate illegal mining. Slide #25. I think the acquisition of Tennant Mines caught most of our shareholders by surprise given the jurisdiction. But by the time we concluded the acquisition, we had spent more than a year assessing the assets and working closely with the management team. The investment in Tennant Mines ticked all of Pan African's boxes in terms of deploying capital for growth with the following brief points worth emphasizing. Project had certainly low construction risk in a Tier 1 jurisdiction, a quick payback on investment. We secured a dominant position in the gold field and built the largest ever processing facility to operate there. The area has very exciting exploration potential with an experienced local management team taking ownership of project delivery. It is not often that one can acquire an asset like this and commission it 6 months later. Slide 27. We are pleased to report that the Tennant Mines processing plant at Nobles is now fully commissioned with production forecast at 46,000 to 50,000 ounces in the year ahead at an all-in sustaining cost of just below $1,600 per ounce. Slide 28. As we have said, the Tennant Creek gold field offers some very exciting potential. Slide #31, the Evander underground. As previously flagged, a disappointing performance for the year. The delay in commissioning of the sub-vertical shaft for wasting impacted us severely. Thankfully, this project is now fully completed. The new infrastructure is pretty much doubling our wasting capacity with fewer cumbersome conveyors, lower unit costs with a higher mine call factor. We are guiding 46,000 to 50,000 ounces of production for the next financial year with further production increases in later years. All-in sustaining unit costs will obviously reduce commensurately with the ramp-up in production. If we proceed to Slide 32, dealing with Fairview, our flagship underground operation at the Barberton Mines complex. We would have performed a bit better if it wasn't for multiple Eskom transformer failures in November, which we estimate cost us more than 2,000 ounces of production. At Fairview, we continue to source the bulk of our ore from the MRC and Rossiter ore bodies with development to the 263 Platform well on track. Rehabilitation of existing ramp infrastructure from 38 Level downwards is also progressing according to schedule. This decline will be used to transport personnel and material to the working faces on the 3 Shaft section and will further alleviate logistical pressures on 3 Shaft, which will then mainly be used for rock wasting and improving logistics. The smaller underground operations at Barberton on Slide 33. In terms of consort, the rehabilitation of the PC Shaft pillar has been completed and now enables our contractor to recommence mining on the high-grade 41 to 45 Level mining sections. Additional development is ongoing on the MMR and the PC Shaft to access mineral reserve blocks, which will give us access to more ground to mine. I am pleased that the operation was cash flow positive in the second half of the financial year to the tune of some ZAR 50 million and sustainable at these levels. As far as our Sheba Mine is concerned, we have successfully completed the restructuring and look forward to improved production in the year ahead with significant cost savings in terms of our labor bill. On Slide 35, the section dealing with our all-in sustaining costs. 85% of our portfolio produced at an all-in sustaining cost of $1,425 per ounce, impacted by lower underground production, some once-off items mentioned previously and the stronger rand-U.S. dollar exchange rate. Slide 36 illustrates that our cost performance continues to be very much in line or better than the average for the global sector with most producers having experienced significant cost pressures in the last couple of years. As I mentioned earlier in the presentation, the next financial year should see further improvements with full years of production from MTR and Tennant Mines and increased production from the Evander underground. On Slide 38, group capital projects. We continue to invest into our assets and into growth. For FY 2026, sustaining capital is fairly subdued in terms of growth. We are, however, using increased cash flow margins in fast-tracking development at Nobles, the Winkelhaak pump station at Elikhulu and obviously, the expansion of MTR. ESG on Slide 40. We continue to be very proud of our achievements on this front, particularly on progress with renewable energy, water retreatment and social projects. We really do make a positive difference where we operate. To elaborate further on our renewable energy road map on Slide 41, we are targeting 15% renewable energy by 2027. I will now hand over to Marileen who will provide an overview of the financial results for the year.
Marileen Kok: Thank you, Cobus. I'm very excited to present the full year results to you today for the first time as Financial Director. For presentation purposes, amounts and percentages have been rounded. From Slide 43, you will notice the positive impact of the increase of 36% in the average U.S. dollar gold price received and increased gold production on revenue for the year ended 30 June 2025. Revenue increased by 45% to $540 million relative to the prior financial year. The increase in revenue also resulted in an increase in adjusted EBITDA of 60% and an increase in earnings of 78% to $142 million. Headline earnings increased by 47% to $117 million. The gain on bargain purchase of $28 million as a result of the Tennant Mines acquisition is excluded from headline earnings and is the main reason for the variance between earnings and headline earnings. Earnings per share and headline earnings per share both increased by 73% and 42%, respectively. During the financial year, just over 105,000 ounces, representing 53% of gold sales were committed in terms of the hedging transactions and did not benefit from the spot gold price, resulting in an opportunity cost of $26 million as a result of the synthetic forward transaction and a hedge loss of $5.8 million as a result of the zero-cost collar transactions. The purpose of the hedging was to secure full funding for the construction of the MTR operation. The group is now fully unhedged from the 1st of July 2025 and will benefit from the prevailing record high gold prices. Production costs and all-in sustaining costs was negatively impacted by approximately 3% as a result of the appreciation of the rand against the U.S. dollar when compared to the previous financial year. The realized losses associated with the hedging, as mentioned before, had a 2% or $30 per ounce adverse impact on the all-in sustaining cost. Further above inflation increases are primarily attributable to the electricity costs and mining contract and processing costs, including reagents. The lower production as a result of the delay in the commissioning of the vent shaft hoisting project at Evander underground also negatively impacted unit cost of production due to the large fixed cost base of the operation. The increase in operating cash flows of over 70% to USD 155 million is primarily as a result of the increase in the gold price during the period, coupled with cost control discipline, resulting in the realization of high margins. We spent $158 million (sic) [ $168 million ] in CapEx during the year, which resulted in an increase in net debt of 41% to $151 million compared to June 2024. The bulk of the capital expenditure related to the completion and commissioning of the MTR and Tennant Mines operations as well as the Evander underground 24 to 25 Level project. Slide 44 demonstrates the ability of the group to generate excellent cash flows at prevailing gold prices. At current gold prices, the group is expected to be fully degeared from a net debt perspective before the 2026 financial year-end. The expected debt redemption profile is well in excess of the contractual requirements. The group net debt peaked in December 2024 at $229 million with the completion of the MTR project and the Tennant Mines project finance included on the group's balance sheet from the effective date of the acquisition. The group reduced net debt by approximately $80 million or 35% to $151 million in the last 6 months of the current financial year, clearly demonstrating the cash flow generation potential of our current operations. The green loan facility dedicated to the funding of the group's renewable energy projects was also settled in full by the 30th of June 2025. The net debt-to-equity ratio of approximately 20% as at 30 June 2025, obviously leaves us with very significant headroom. The group's debt facilities currently consist of a revolving credit facility, the term loan for the MTR project and the listed corporate bonds in South Africa, combined with the funding facilities for the Australian operations from the Northern Territory government and a private financial institution. The term loan only matures in June 2029, but will be redeemed well in advance of the maturity date. The contractual debt redemptions associated with the debt facilities are fairly muted over the next 12 months and consists primarily of the quarterly repayments on the MTR term loan facility and Tennant Mines facility, monthly repayments to the Northern Territory government and the maturity of the Par SO1 listed bond and the RCF redemption in June 2026. The RCF facility is currently undrawn, and the group will commence with the process to refinance this facility in the near future. It's likely that the RCF will again be extended as has been the case in the past as it constitutes a key component of our core working capital finance facilities. Slide 45 tracks the group's historical and proposed dividend payments. The proposed record dividend is ZAR 0.37 per share, which will result in a gross dividend distribution of ZAR 864 million or approximately $49 million at the closing exchange rate for the 2025 financial year. The proposed dividend is an increase to the dividend of the previous financial year of 68% in rand terms and 77% in U.S. dollar terms. The proposed dividend for the 2025 financial year, together with the share buyback program announced, will result in a payout ratio of approximately 38% of cash flow as defined by the dividend policy. The dividend will be proposed to shareholders for approval at the AGM to be held in November 2025. The dividend provides an attractive return to shareholders whilst ensuring that the group has enough available liquidity to fund operations, together with further renewable energy initiatives in the near future. Thank you. I will now hand back to Cobus to conclude today's presentation.
Jacobus Loots: Thank you very much, Marileen. If we conclude on Slide 47 and to again reinforce some key points. We now have tailwinds from the highest gold price in history, and the group is completely unhedged. Even with slightly lower gold prices and our record dividend, the group should be degeared in terms of net debt before the end of the 2026 financial year. We have just commissioned and ramped up arguably the most successful gold tailings retreatment project in South Africa's history, below budget and ahead of schedule, and we will grow this operation further in the near term. Our Elikhulu, MTR and BTRP operations are performing really well and generating fantastic returns and cash flows and will do so for many more years. Tennant was acquired with very limited dilution to shareholders, less than 6% of our market cap at the time. We are now producing from this asset in a Tier 1 jurisdiction within 6 months of acquisition, having constructed the largest processing plant to ever operate in this gold field by a factor of 3. We are growing gold production very materially in the year ahead with 60% of our production ounces from surface. Consort Mine has turned a corner and Fairview will continue to tick along as it has for many years. Evander Mines will perform much better with the subvertical hoisting shaft complete. Clearly, in this environment, the group is currently generating very significant cash flows. Let me reassure shareholders that as always, we will continue to be incredibly prudent in terms of capital allocation and investment decisions. We have an outstanding track record in terms of generating sector-leading shareholder returns on an absolute and per share basis, and we will not compromise on this metric. Thank you very much for your time this morning. We look forward to continue mining for a future and expanding our horizons in the year ahead. I think we'll start with taking any questions from the conference call.
Operator: The question comes from Richard Hatch of Berenberg.
Richard Hatch: First question is just on the CapEx guidance for '26. I think the market was at $71 million and you're guiding to $146 million. Now I appreciate that some of that is, as you say, the gold price is high, so you bring forward some projects. But can you perhaps just give us a bit more color as to what's driving the CapEx going higher than what the market was looking for? And then if we look into 2027, how should we be thinking about the CapEx profile of the group as it stands just on a directional basis, please? That's the first one.
Jacobus Loots: Thanks, Richard. Yes. So to your point, we are -- we've decided in this gold price environment to bring forward quite a bit of capital. The first major item would be the Winkelhaak pump station at Elikhulu. That's about $20 million. And I mean that's going to give us flexibility for the remaining, call it, 8 years of life after the end of this year at Elikhulu. And the capital there is going to be fairly muted afterwards. So we're bringing that forward. Secondly, obviously, we have the expansion of MTR. So that's going to be done in January, February latest. That's quite a big ticket item. And then we also have the TCMG capital. So I mean, which is mostly growth capital. And I think lastly, the Evander underground, there's a bit of capital that was carried over from last year. And then there's quite a bit of development happening in 24 to 25 Levels. So clearly, I mean, the benefit of this gold price and with the low cost of our operations that we can afford to spend this capital and still have increased dividend by almost 80% and then still expect it to be degeared by the end of FY '26. So sustaining capital for the group in terms of guidance, it's $50 million.
Marileen Kok: $40 million to $50 million.
Jacobus Loots: Call it $50-odd million sustaining capital. Clearly, if we can continue to grow the business and do so generating returns, we have now a lot of flexibility in spending capital and generating attractive returns.
Richard Hatch: Okay. And then as we go into '27, so we should see it drift more towards that $40 million to $50 million. Is that the right way to think about it?
Jacobus Loots: Well, it's -- call it, $50 million sustaining and then there will continue to be a bit of growth capital, but that's very well justified. I mean, you would have seen in the write-up, I mean, a project like, say, Warrego in Australia doing drilling and some of the intersections coming back 5% -- 5 grams a tonne gold and anywhere from 2% to 10% copper. So those would be very attractive growth projects. So yes, I mean, your sustaining CapEx, Barberton will continue as it has been, not a lot of sustaining capital to be spent Elikhulu, MTR. You're going to see capital coming down on the Evander underground as we now sort of have moving into 25 Level. And then TCMG base case capital is -- that includes sustaining and growth would be in the order of about...
Marileen Kok: $5 million to $10 million.
Jacobus Loots: Yes, sustaining capital, call it, $5 million, call it, $10 million [indiscernible].
Richard Hatch: Okay. Helpful. And then the second one is just on the Soweto cluster. I appreciate you've got a feasibility coming up on that in the next sort of month or so. But how should we think about final investment decision on that project? And just again, in terms of growth, whether it's incremental to MTR or whether it's a life extension, how are you -- where are we sort of -- where is the thinking on it at this point?
Jacobus Loots: So Richard, yes, it's dependent, obviously, on the feasibility study. If we do elect to build another plant, I mean, that's going to be sizable capital. I don't want to put numbers out there. But again, at this gold price or even a lower gold price, just given the attractiveness of these projects, you can expect, again, a 2-, 3-year payback on a capital number. But I think as a base case, I mean, MTR obviously has been a fantastic success. So we started 50,000 ounces. We now are in the process for fairly limited capital expanding to 60,000 ounces. I mean what Soweto at the very least will give us is additional feedstock, and we can look to ramp up, say, to 1.2 million, 1.3 million tonnes, just the existing plant. That means you're going to have attractive growth, another, call it, 15,000 ounces out of MTR and that operational growth on that basis for 15 years. So I mean, I guess those are the options. Do we go big bang on Soweto? Obviously, the sort of -- there are risks, but it's something that we've done many times successfully. But a base case, I think shareholders can look forward to further expansions at limited capital, generating very attractive returns.
Richard Hatch: Okay. So sorry, just one follow-up on that. So on balance of probabilities is the view that it's more going to be, as you say, that incremental plant feed to take you up to that 1.2 million to 1.3 million and take volumes up to more like 75,000 ounces a year rather than to put your words on it, a big bang CapEx number. So more kind of like incremental but longer life, very, very high margin rather than a perhaps a slightly shorter life but still very low-cost operation with a high CapEx number.
Jacobus Loots: Yes. Look, I mean, it's too early to preempt what we'll do. But I mean, if you look at our track record in terms of capital allocation, I don't think you need to be concerned. I don't want to say to shareholders, they can bank the expansion to, say, 1.2 million, 1.3 million, but that's the logic step for us as a base case.
Operator: At this stage, we have no further questions from the lines.
Jacobus Loots: Shall we go then to e-mailed questions?
Unknown Executive: Thank you. We've got a few questions from the webcast. The first one is from Martin Creamer at Mining Weekly. Martin wants to know in what direct or indirect ways would a London main board listing help South Africa as a whole economically and otherwise?
Jacobus Loots: Well, Marileen and the teams have worked incredibly hard on getting us to where we are with this process. It's a next logical step for us. I think we've outgrown AIM given the market cap and the production level. And it's going to give us access to increased investor base. The London market, I think, is -- would be quite amenable to another gold counter of size being listed. It gives us scale in terms of indexation.
Marileen Kok: Indexation, yes.
Jacobus Loots: So yes, a number of benefits from that perspective.
Unknown Executive: Thank you. We've got a question from Mark Bentley from Share Society. I was concerned to read about the 3 recent fatalities. What was the principal cause, breach of safety protocols, equipment failures or geophysical activity?
Jacobus Loots: Mark, yes, it's very sad for us also and very difficult. So let's just start out by saying that, I mean, really, our surface business has done fantastically well. I mean we sort of moved and completed a whole year of production with no lost time or reportable injuries on any of our surface assets. Industry-leading in terms of underground safety records. But that being said, it's still not acceptable to have fatal accidents. We -- again, all of the corrective measures are detailed in our SENS, RNS announcements. We are fortunate in that we don't have huge seismicity. So it's not geotechnical issues. The fatalities were very different in their nature. And the bottom line for us is, as a group, we can and will do better. But it's not only ourselves. I mean we need to have buy-in from all stakeholders. And that means all of our employees need to follow policies and procedures and also our unions and all of the other stakeholders that are involved, and that's the key message.
Unknown Executive: Question from Arnold van Graan from Nedbank. Well done, good results. What's next from a strategic and growth perspective? Is it possible to buy more assets for value at this gold price?
Jacobus Loots: Arnold, I think we have a good track record, again, on allocating capital. We are in a very fortunate position in that we're not running out of any life or running out of life on any of our assets anytime soon. Organically, we can continue to grow. We've spoken about MTR. Elikhulu will be nice and stable for 9 more years, but more growth we'd like to do at Barberton. Most of the growth now is funded at Evander 8 Shaft. Obviously, Australia, very prospective. And that's just been our, I guess, mantra over the years. We don't do expensive deals. We are very conservative. And certainly, for this year, the focus mostly will be banking the growth that we've now paid for and seeing all of those benefits crystallize in terms of production numbers, costs and ultimately cash flows.
Unknown Executive: Thanks, Cobus. Mark Bentley again from Share Society. Are you considering paying an interim dividend at the half year stage in FY '25, '26?
Jacobus Loots: Mark, let's first start by saying, I mean, certainly, the balance sheet has a lot of flexibility now. We already are paying a very attractive dividend, sector-leading, I think, would be fair. The dividend is an increase of almost 80% from last year, and that's after all of the capital we spent on growth over the last 12 months. But that being said, I mean, we constantly look at ways of returning more capital to shareholders and making our story more attractive. So we certainly don't want to rule out an interim dividend at this stage. And we always weigh up cash returns versus buybacks versus reinvesting in our portfolio and then growth. And I mean, we -- I think successfully, we'll continue to maintain a balance on all of those requirements.
Unknown Executive: Thanks, Cobus. We've got 2 CapEx-related questions from Herbert at Absa. I think we've covered the first one. How should we think about CapEx over the next 3 to 5 years? What is the minimum baseline sustaining CapEx? And the second part, I think, what is the CapEx required to develop TCMG to realize the volumes over the next 5 years?
Jacobus Loots: So I mean the sustaining capital for the group, we've guided now, so circa $50 million. TCMG's baseline number, it's about $40 million to $50 million, but it depends on the growth.
Marileen Kok: And the number of open pits and rate of development we do go into the underground operations.
Jacobus Loots: Yes. So I mean, the bottom line is we have a very attractive business in Australia and the capital we spent, we will generate quite attractive returns. And as I mentioned, the likes of the Warrego project in itself can sustain quite a large-scale business over time. So those are the options that we are looking at as far as TCMG is concerned.
Unknown Executive: Okay. Another CapEx question from Lebo from Truffle. Is it fair to assume the same amount as Mogale for Soweto cluster in case you decide to build a stand-alone plant for the Soweto cluster?
Jacobus Loots: Lebo, it's probably going to be more if we do build a stand-alone plant. And why is that the case? I mean the plant would be -- have more or less the same throughput. And there's obviously been a bit of inflationary adjustments after we constructed MTR. But then we will have to build a new tailings facility. We -- in terms of MTR had the benefit of for the first years utilizing the waste [indiscernible] pit. So that will be an additional capital item. And then secondly, also the pumping infrastructure, it's about 15-odd kilometers of pumping and piping, which wasn't the case at MTR. So you can expect a higher capital bill. But again, at this gold price or even a lower gold price, I mean, that sort of capital should pay back in, say, circa 3 years. But again, I mean, we recognize that if we do undertake Soweto, it's a big bang number, as I've said. And I mean, at the very least, we'd like to think shareholders can bank on a little bit of production growth at limited capital if we just expand the MTR facility.
Unknown Executive: Thanks. A question from Arnold again. Did you suffer any production losses due to the illegal mining challenges at Barberton?
Jacobus Loots: Look, illegal mining, as we've highlighted, is a big issue for us. And again, I want to congratulate our security team for all of their efforts in keeping our people and assets safe, which we will continue to do. We constantly suffer production losses, and it's theft from, unfortunately, our employees and then also the illegal miners. So we require the cooperation of all stakeholders and role players, including the police, and we work very well with police on a national level. So thank you for that. And yes, I mean, definitely, it also demonstrates, I guess, the potential still after 140 years of mining that you have so many illegals underground. But no doubt, I mean, there's a lot of gold theft, and we constantly work at ways of reducing that issue.
Unknown Executive: Thank you, Cobus. Another Barberton-related question from Bruce Williamson of Integral Asset Management. Can you please give some insight into the Rossiter Reef methodology and the level of reduced dilution and higher grades?
Jacobus Loots: Yes. So Bruce, like with all ore bodies at Barberton, unfortunately, like these are not the easiest of ore bodies to understand and then mine. They're not tabular. I mean, as you know, they sort of are undulating. But the Rossiter has been quite a good benefit for us in terms of topping up production from the MRC. So we have 3 sort of lines into the Rossiter, continue to mine it, continue to do exploration. So it probably gives us about 20% of the Fairview -- 20%, 25% of the Fairview gold at this point. So -- but I think it's exciting. I mean there's more work to be done. And hopefully, we can prove up a larger ore body in Rossiter over time. The issue with Barberton is not the quality of the ore bodies. It really is the infrastructure after 140 years of mining. I mean nobody ever expected that we'd be mining at these depths for so long. So that's why we get to continue to reinvest and invest into infrastructure and optimization.
Unknown Executive: Thank you. There's a question again from Lebo at Truffle. What are your thoughts on special dividends?
Jacobus Loots: Well, we had a big debate on that, I think, Lebo, not big, but it's something we consider. But special dividends, I mean, I think the dividend that we are now proposing is at a level that we can quite comfortably sustain. And as we said, I mean, it's a balance between growth and reinvestment and returning cash to shareholders. And I do think we are very competitive from that perspective. At this point, there's no sort of, I think, ask or prospect to go and do special. I think our dividend level is very attractive.
Unknown Executive: Thank you, Cobus. And I think we can end off with a question on the London listing again from Ryan Seaborne at 36ONE Asset Management. Ryan says, congratulations on great results. Will you be doing a roadshow prior to the main board listing? And when is the expected listing date?
Marileen Kok: Thanks, Ryan. We are busy in the process of all of the submissions, the required submissions to the FCA. The current time line, we would expect to complete the listing process somewhere in October. We are embarking on a roadshow now post our results. So we will consider if there's any demand for an additional roadshow before the admission in October.
Jacobus Loots: Yes. I think the guidance is that we should -- we're looking to have the process completed by the end of December.
Unknown Executive: Last question that just come in or a comment. May you please formalize 3-year CapEx guidance given the strong pipeline of projects?
Jacobus Loots: Sure. That's something we could look to provide more clarity on, no problem. But I think the positive is that, obviously, I mean, we're able to very comfortably fund the levels of capital to sustain and grow. And as we've said, any growth capital would come and increase production and increase the returns to the business and to shareholders.
Unknown Executive: Thank you. There are no more questions from the webcast.
Jacobus Loots: Thank you to all for joining us today.